Operator: Thank you for standing by, and welcome to the Sandfire Resources September 2025 Quarterly Report. [Operator Instructions] I would now like to hand the conference over to Mr. Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Good morning, everyone, and welcome to our September quarterly call, which we hope is a slightly quieter day for a number of you. Our executive team is here with me today, as usual, for the Q&A, which we'll get to very shortly. But before we start, I'd just like to acknowledge the traditional custodians of the lands on which we stand, the Whadjuk people of the Noongar Nation as well as the First Nation's peoples of the lands on which Sandfire conducts its business. We pay our respects to their elders and leaders, past, present and emerging. As we always do, let's start with safety. We finished the period with a group TRIF of 1.4 and no recordable injuries across the group. Obviously, a very welcome result. The safety of our people is paramount. And as our Asset President at MATSA, Rob Scargill likes to put it, it's all about achieving and sustaining safe production. And that's why we're working hard to raise awareness of the need to report and learn from high potential incidents and further strengthen our control environment. At our full year results in August, we noted copper equivalent production for FY '26 would be weighted towards the second half with a circa 48-52 skew anticipated. We also noted that copper equivalent production skew in the first half would be even more acute at a 45-55 split across the September and December quarters. Pleasingly, copper equivalent production for the group is tracking almost 5% ahead of that plan at 35,500 tonnes and remains on track to achieve the midpoint of annual guidance of 157,000 tonnes. At MATSA, we delivered copper equivalent production of 21,800 tonnes, which represents 23% of FY '26 guidance of 96,000 tonnes as our mine plan navigated grade variability, which is I might add typical of polymetallic ore bodies such as MATSA. As in the past, recoveries were also impacted as our poly lines processed a high proportion of ore with elevated pyrite from the Castillejito zone within Aguas Teñidas. As importantly, we have maintained discipline with MATSA's underlying operating unit cost of $85 per tonne coming in marginally lower than full year guidance. Motheo has also continued to run to plan, achieving 13,600 tonnes of copper equivalent production for 22% of annual guidance, noting FY '26 production for Motheo will also be weighted towards the second half of the year, as we said in August. And pleasingly, we're set up well as our team has made strong progress, dewatering the A4 pit such that mining recommenced in Stage 1 in recent days, and we're already mining low-grade ore in Stage 2. This is what underpins the planned surge in high-grade material from A4 in the second half and the building production profile across the year. Despite softer metal production in the quarter, we had 5 shipments depart the port of Walvis Bay in Namibia, which certainly bolstered operating cash flow, something Megan can talk to in the Q&A. From a broader perspective, Motheo's underlying operating costs came in 4% below full year guidance at $42 per tonne, but please don't get too excited. This is precisely what we anticipated as costs will rise across the year, consistent with full year guidance as we extract more ore from A4 and incur additional haulage and handling costs as this high-grade pit is, as you'd recall, around 8 kilometers from the processing plant, which sits adjacent to T3. From a strategic perspective, in Q1 FY '26, we invested $7 million in regional and $6 million in near mine and extension exploration programs in the Iberian Pyrite and Kalahari Copper Belt. And our investment in regional exploration in the Motheo hub will accelerate with the imminent recommencement of drilling activity. As you would expect, we took advantage of the recent pause in activity in Botswana to increase the coverage of our induced polarization data set in the Motheo hub and have further enhanced our targeting approach such that we have detailed plans for 20 kilometers of target drilling, which will be undertaken across the next 9 to 12 months. And while we're back at A1 testing down dip of no mineralization, we're still on track to release a maiden reserve in Q4 of this financial year. Turning back to MATSA. We were extremely pleased to receive the final regulatory approval for the new tailings storage facility and the team has already commenced early works such as land clearance and fencing to secure the site. Separately, we expect our closure plan for the existing TSF to be approved shortly, which will allow the team to complete the final incremental raise to establish a sustainable land form. The support we received from government in both Spain and Botswana is not taken for granted. It is greatly appreciated. And lastly, to Black Butte, we still expect an updated resource and reserve statement and new pre-feasibility study to be released by Sandfire America in Q2 FY '26, paving the way for the group to determine its longer-term strategic fit in the portfolio. So bringing this all together, our team's unrelenting focus on the basics continues to feed into our balance sheet, where net debt declined by a further $61 million to finish the period at $62 million for a cumulative $283 million reduction in net debt across the past 12 months. The combination of our modern mining complexes, preferred commodity exposure, talented people, the consistent and predictable performance they deliver and of course, our increasingly strong balance sheet ensures we are strategically well positioned for the future. So with that, let's go to questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Kaan Peker from RBC.
Kaan Peker: Just two from me. Just on MATSA, the Magdalena volumes dipped about 10% this quarter, and that appears to have driven much of MATSA's lower copper output. Can you maybe give us an update on the sequencing through 2Q? And are you getting to the higher grade zones? Are they accessible now? And should we see a recovery in both throughput and copper recoveries?
Brendan Harris: Okay. So maybe going to that one first. let me go back to 37,000 feet. As I mentioned in August, we talked to a 48-52 sort of ratio for group copper equivalent production. Look, the reality is there will always be a level of variability. Indeed, we mentioned we're tracking 5% ahead of plan. That is sort of the tolerance for error in trying to forecast production from these types of assets on a 3-monthly basis. We continue to expect that 48-52 skew across the first half and second half. So I think when you're working through your numbers, we'd really encourage you to sort of back solve towards that. With regards to Magdalena, the mining rate, of course, is dependent on a number of variables, which I'll get to in a moment. But I would just highlight to you that if you look back over a 2- to 3-year period, it's been quite common for Magdalena volumes to sit below 500,000 tonnes in a quarter, and it's even seen production lower than 450,000 tonnes. Really, what this is a function of, as always, is stope design, ground conditions and ore grade. And of course, we react and resequence. And so you see that the usual timing differences and the differentials that appear in the quarterly today. So from our perspective, we're not seeing anything that's atypical. What is important is the work we've done to invest in the underground continues to mean that we have a number of faces open, so we have significant degrees of freedom. I mentioned that depending on where we're drawing the ore from in the mine or the mine complex itself across the 3 operations, that will impact, obviously, in terms of recovery when we got higher levels of pyrite, and that's obviously more of a challenge to suppress in the flotation circuit. And so you see that feed through. So again, nothing that's overly unusual. And as I've mentioned, the full year guidance on track and the skew across the first half, second half should be broadly as we've said in the past. But maybe, Jason, if you can just pull that apart even a bit further.
Jason Grace: Right. Thanks, Kaan. And really just drilling down on Brendan's comments there as well. So if we look at it in late July and early August, right, we were mining down in Masa 2 West and Magdalena in a very high-grade section of the ore body where we do longitudinal stoping. So the access to -- for that production is along the track of the ore body. So we did see some ground conditions very localized in there. But due to this material being extremely high grade, the team at MATSA made the conscious decision to actually slow down that mining rate to make sure that we could do it safely and also retain the integrity of not only the recovery of that ore in a localized way, but also retain the integrity of the sequence. So from my point of view, they've done a very good job to manage those conditions. We've got all of the ore out as planned, right? It's slightly later in some of those areas. But in terms of production rate, we have got that integrity of the sequence, and we'll continue to mine according to plan throughout the year. So from where I sit, this is certainly not unexpected. It's part of mining, and it's certainly part of mining at Magdalena, and we see no issues with the full year coming out in production rates at Magdalena.
Kaan Peker: Sure. I appreciate the detail. And then the second one is on Motheo. As A4 ore sort of progressively replaces T3 feed through the second half, does the higher grade or higher mineralogy -- harder mineralogy limit the throughput?
Brendan Harris: So look, I'll take that. Of course, remember that we run a blend, and we've set the plant up such that the planned rates of production that we have the capacity in the back end of the plant. Now of course, with the potential from period to period to see at times even a higher grade average blend grade. We don't want to be constrained, and that is why we are investing in some of that tank capacity at very modest capital across this year. And that's really just to, if you like, provide somewhat of insurance at the back end of the plant. So again, that will be alleviated in terms of a potential bottleneck. But Jason, anything I've missed there?
Jason Grace: Yes, absolutely right. So we're spending USD 6 million in capital to make sure that this is not an issue for us for the future. That project is now well advanced, and we're doing most of the modifications that are required over the next 2 planned shutdowns. So I expect that we've got all of those upgrades and the debottlenecking works associated with that completed by the end of Q3 and ready to go when we're seeing high-grade A4 ore going through the plant.
Operator: Your next question comes from Levi Spry from UBS.
Levi Spry: Just a quick one on Black Butte. So what exactly can we expect? So reserves and resources a pre-feasibility study. When? And can you give us a bit of context around the update, I guess, given how strategic these kind of minerals are in that part of the world now?
Brendan Harris: Yes. Look, I think from our perspective, not a lot has changed in terms of the direction of travel. I think you've seen some of these things firming up in recent weeks and months in Washington. But again, I think that's fairly consistent with the trend that's been in place now for some while, Levi. Look, again, being mindful that we're talking for Sandfire America, which is a separately listed entity on the Toronto Exchange. What we expect, of course, our team supports that work, our technical team. We anticipate that there will be an updated pre-feasibility study coming through just prior to Christmas. I think it could be in the days or week to weeks prior to Christmas. And we also expect an updated reserve and resource estimate. Now of course, the drilling of the Lower Copper zone very much increased its lateral extent. The work that we're going to be focused on, and we're yet to see the outcomes is when we obviously put the mine plan around that is what are the levels of dilution that one sees. What is the mineable grade and what does that mean for the economics. And so we're obviously as focused on that as you. I think from my perspective, I've said before, when the company bought into Black Butte, the market cap of the organization was less than $1 billion. Today, it's obviously at a point in time, much higher than that. We have no doubt that the Black Butte project is obviously very close to shovel-ready. It's one of the rare fully permitted options in that part of the world. The question is not whether Black Butte gets built in our mind. Of course, we're waiting on these updated economics to firm that up, but it's really more about how does it fit strategically in our portfolio. So no real change there, Levi. And obviously, all of these materials as they become public, provide us with a whole lot of different alternatives as an organization. So yes, we're as eager as anyone to see the outcome of this work.
Operator: Your next question comes from Paul Young from Goldman Sachs.
Paul Young: Brendan, a quick question on MATSA and around the low recoveries in the poly circuit. Was this just a really unique quarter where you had a lot of higher production from Aguas Teñidas, which just offset or just swamped, I should say, Magdalena and Sotiel? Or could we actually -- within the mine plan, is there -- going forward, is there another quarter which might look like this?
Brendan Harris: Yes, Paul, thank you. I know you love your processing plants and obviously, the chemistry that goes with it. You'd be absolutely aware that if you go through a zone where you've got a far higher proportion of pyrite, it changes the chemistry and how you work to suppress that. And that's obviously challenging and more challenging than a number of other areas and Castillejito certainly provides us with a more, I guess, challenging and pyrite feed of ore typically. And that's really what we're seeing. Of course, across the rest of the year, as Jason has alluded to, we expect to see the production in MATSA to play out as we've, I guess, provided guidance for. And so as a result of that, you would expect to see grades and recoveries, particularly recoveries improve across the year, commensurate with the plan. Jason?
Jason Grace: Yes. Just building on that again. And Paul, I think you've nailed it. So if we look at it, there's 2 key reasons there. So we've got the usual decrease in recovery, which is a result of lower head grades. So if we look at poly ore in particular, copper grades there were 1.5% for Q1, which is down from 1.9% in the prior quarter. And zinc grades were at 3.8%, down from 4.3% once again in Q4 FY '25. So Brendan is absolutely right, though. So when you put on top of that, the fact that we've been producing and processing a significant amount of Castillejito ore, which was planned to be processed throughout the year. It is very complex metallurgically. As Brendan touched on, it's very high in pyrite content. And we get lower recoveries, particularly associated with -- it ends up generating a lower pH in the pulp chemistries and in the flotation plant there as well, which we're working actively to keep that under control. So in particular, if I look at going forward, we still have ore remaining in this part of the ore body. But I think from memory, it's about 350,000 tonnes left of this material. So going forward, it's not a significant part of our mine plan, particularly for the remainder of this year and beyond that.
Paul Young: Okay. That's good to know. And then, Brendan, maybe turning to the U.S. and Black Butte. Yes, studies coming, as you just outlined, et cetera. Just curious around the potential offtake on the concentrate there, considering that Bingham Canyon smelter is -- has a lot of spare capacity and the mine seems to be underperforming. Just curious around if you had any conversations with that smelter and offtake and how that might improve the economics considering I think that concentrate should be highly sought after.
Brendan Harris: Yes. Thanks, Paul. Look, excellent question. I probably don't want to go into specifics of any discussions that may or may not be occurring on a confidential basis. But look, I think the reality is more broadly, in the United States, as is the case in most places you operate, if you can process your ore closer to the home, clearly, there are numerous benefits. So of course, that is something that the team is working on and obviously supporting Sandfire America with is obviously the potential to find a home for that concentrate that is certainly much closer than putting on a ship and sending it to Asia. But of course, that's the fallback position, and we'll see where that lands over the coming weeks. But that's an important value driver and also could be important strategically for the project. But nothing really more I can add at this stage other than noting your point about potentially the logic of sending this to a smelter such as Bingham.
Operator: Your next question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: You mentioned that you were 5% ahead of target during the quarter. And obviously, there's a variation around your budgets, which I think you said the tolerance is about 5% as well. I'm just wondering if you could outline what went better during the quarter? Does any benefits travel further than this quarter? Obviously, you haven't changed your guidance. Does it potentially mean we brought into this quarter some benefits to future quarters? Or is it just you've started well and not willing to uplift guidance here?
Brendan Harris: Yes. I think the reality is we're 3 months into a year. We know the variability that we see in these operations. Of course, throughput at Motheo was particularly strong. MATSA is going well, albeit we absolutely recognize and hear some of the challenges around specific issues that we expect to obviously evolve through the course of this year. To give you a sense, MATSA Poly Line 3 is in-plan maintenance just at the moment, just a short shut. So there's all these sorts of things that flow through. And we would just really caution people against becoming any more optimistic at this early stage in the year. And as I said, we still think that you'll see that relative production skew play out. So look, not much more I can add, Dan. It's better than being behind at this time of year, but still a long way to go.
Daniel Morgan: And then maybe somewhat related, the dewatering activities at A4, pleasing to see, but is that best view through the lens of production outcomes, business plans this year have been derisked by that? Is that the best way to think about it?
Brendan Harris: Look, I think clearly, the year is, to some extent at Motheo contingent upon being able to accelerate production out of A4. Its high grade is clearly something that we cherish, and it's been somewhat frustrating to obviously be impacted by 1 in plus 200-year event as we were last year. But equally, it's proven that the team is match fit. They've done some excellent work in terms of how they've responded. The work and the capital we put in to build contingency, I think, has paid off and it leaves us now in a position where, as I said, I think we're very, very well set up. The irony is with the dewatering. It goes very well once you get below those initial sands and the Cow Creek layers. It's amazing how quickly the water levels start to drop. We've got enormous amounts of pumping capacity, sprinkler capacity now in place that really assist us with that. And Jason and I were remarking the other day, we'll inevitably, like most mines, probably go from a situation where we've got way too much water to worrying about where we're going to get our water. So that's something that's not unusual and something we're monitoring very, very closely. But -- and Jason did remind me that they had some heavy rains there earlier or late, I should say, late last week, which also means that we're starting to get back into the wet season in the Kalahari. So all of these things have potential to impact us in the very short term. But I think the way you put it is arguably the right way to think about it is the fact that we're now back in Stage 1, the fact that we know the water level has been drawn below the mining level and considerably below sets us up well and hopefully, to some extent, derisk the outlook for the rest of the year. But of course, there's a whole lot of other variables that we need to be mindful of.
Operator: Your next question comes from Ben Lyons from Jarden.
Ben Lyons: Maybe just staying with Botswana. I note the commentary in the release about the new Mining Act coming into law and the increased option for government or citizen ownership. Now obviously, T3 and A4 sit on granted MLs, which will be grandfathered. But I'm just interested in how extensive those MLs stretch. For example, does A1 fall within the envelope? Or does that one potentially require the issuance of a new mining lease?
Brendan Harris: Yes. Good one, Ben. Thank you. As you know, prior to the recent election, the revisions to the act went through the parliament. And obviously, they've recently been gazetted, which was good to see. Good to see in the context that progress is being made, but also that there were no substantive changes in any respect that came through. You're absolutely right, T3 sits on a granted ML. What I would just remind people on the call is that A4 was not covered by that ML initially, but the government actually saw that there was logic to extend the ML to cover A4 and the associated haul road. And we don't know precisely what the plan will be and how we'll work through approvals for A1. First step, obviously, is to complete the current drilling program. We've got additional drilling underway, as I mentioned, targeting a deeper zone in the hinge of the fold, which is showing some interesting and encouraging results in terms of grade and thickness. So we'll see how that plays out. But we need to complete that. We need to understand the economics. It's obviously much more distal from the processing plant. And then we would work with government. I think what would be from our side, something that will be really important to work through with this is, well, firstly, logically, the same approach to A4 would make sense for a number of reasons. But I think the two that come most specifically to my mind is the value now once you build a processing facility arguably sits as much in the processing facility as it does in ore. So how you actually think about ownership and the value of the ore without a processing facility, particularly for an ore body that's of the size of A1 at the moment, circa -- if you look at the resource that was stated, it was just around about a year of processing capacity. We'll see how that plays through as we work to convert to reserve. And of course, the second thing is that the material would always be blended. You wouldn't want A1 to be supporting the whole of the feedstock given its distant location. And so when you think about those things, how you actually attribute value to A1 as a stand-alone asset would be really, really difficult. So again, I go back to the point that A4 was really a function of an ML that was extended, expanded, if you like, to cover that new development. And certainly, it would be our position to argue strongly that a similar approach is warranted. But again, it would be a healthy discussion with government. And I would just note that our engagement with government right from the Minister for Mines and Energy, the Honorable Bogolo Joy Kenewendo, very, very strong relationship and good direct discussions. And they're certainly very supportive of what we're doing. And obviously, for us, we need to continue to show the benefit of Motheo that goes well beyond the immediate direct employment into other areas. So that's something we're very, very mindful of. So look, good relationship, Ben. As I said, probably right at the start, the most important thing for us when the revisions were enacted, there were no changes from what went through, nothing of any substantive nature prior to the election.
Operator: [Operator Instructions] The next question comes from Adam Baker from Macquarie.
Adam Baker: Maybe just following up on Ben's question. And I did see the comment on the regulatory environment about the 10,000 kilometers cap on the area that can be held by companies in country. It appears to be something new. And obviously, you've got over 13,000 meters under licenses at the moment. Can you just walk us through how you're thinking about when it comes to reducing that landholding, what you're kind of thinking about? Is it getting rid of tenure, which is furthest away from your processing facilities? Or are you thinking about other things to reduce that?
Brendan Harris: Yes. Look, thanks, Adam. And just to be clear, that's certainly not new to us. That's something that has been understood for some time. Certainly was part of the proposal that went through ultimately the parliament prior to the election and remains on foot. And we've had, as I think I mentioned on this call, very, very healthy dialogue with government and the various departments around a number of things. Firstly, we believe we have the most extensive geophysical database of the Kalahari Copper Belt. We believe that having opened up 2 open pits that we are the best placed player to make the next discovery. And of course, with our modern processing complex, we've got the best chance of ensuring it's economic and can win capital. And so of course, first and foremost, I think the key line of discussion that we have is that it's very important that we maintain that strategic stronghold in terms of our large tenure holding. And so that's a very healthy discussion. I think it's well understood. Equally, though, as I've mentioned before on this call, we've got a process as we work through and really refine our targeting approach that we continue to apply for renewals, but then also we've been working to reduce our position, and that's been something that's been ongoing, and you can expect will be ongoing for the foreseeable future, and we have every intention of moving back to meet that requirement, and it's important that we do. If you look at the areas that we have relinquished over recent years, it's typically been out to the West in the deeper areas where you've got very, very thick cover that it's fair may host meaningful opportunities. But for us, we believe it's going to be much higher cost and lower certainty of success. And so again, our focus has been very much around the Motheo hub and then in some of the southern areas that you should start to see more activity over the coming months. Jason, anything I've missed there?
Jason Grace: No. I think really the only points I'd add to that are as we've been in constant communication, not just at a ministerial level, but also at a regulatory level, right? We've been engaging and our team over there have been engaging very proactively with the regulators that will be tasked with overseeing these new -- the changes to the Mining Act. Now all indications are that they will -- and they have to date been working very proactively with us to do whatever reduction that we do need to in a controlled and structured manner. So we've seen -- in recent history, all of our tenements that required renewals have all been approved, and we don't expect to see that to change. And we'll continue to engage with these regulators to make sure we're doing it in that controlled manner that I talked about before. And as Brendan said, it's about a technical basis for relinquishments as well. So we've been doing a lot of work, particularly on prospectivity in certain areas, and there's certain areas that are now low priority, and they'll be the first to go.
Brendan Harris: Yes. I think reality is we want to spend our capital where we think we have the highest likelihood of success, where it's the most capital-efficient form of exploration. And so we're working hard on that. And maybe just to even further emphasize Jason's comment, the last major renewal that we went through was prior to last Christmas obviously, after the amendments have been obviously publicized and gone through parliament. And we actually managed to renew all of our critical tenure, particularly tenure that sits in and around the Motheo hub. So of course, it's important we follow through. We've got, hopefully, as you can hear, a very, very focused approach to that process of progressive relinquishment. But good question, Adam. Appreciate it.
Operator: Your next question comes from Anthony Barich from Platts.
Anthony Barich: Just regarding the Black Butte, I know that when the other analysts asked you about the strategic nature of it, you said that those kind of geopolitical talks around critical minerals have been ongoing for quite a while there. But just wondering whether you've had any talks with U.S. authorities about whether they've shown a lot of support for the project either on a funding or regulatory level or any of that? I'll come back for a second.
Brendan Harris: Yes, Anthony, thanks for your question. I think the one difference to really flag perhaps for Black Butte is it's a fully permitted project. So I think if you look at some of the examples that you might be thinking of, there are projects that either haven't got their permits or they need support for other associated infrastructure to then enable the said mine to develop. Black Butte sits literally kilometers out of the lovely town called White Sulphur Springs. It sits on private land. It's fully permitted, and it's not in of itself, a large capital project. It's circa 1.2 million tonne per annum throughput rate, very, very concentrated site. And if you look at the tailings facility that's planned, it's effectively a cemented tailings. And the reason for that is to make sure you're managing any of your risk, particularly around water. Water is the big issue in Black Butte, given the sensitivity of that environment as it should be. So yes, look, very, very different. You'd expect we have ongoing discussion with a range of parties, but it's not like we're looking for a major enabling piece of infrastructure or some support through the permitting process.
Anthony Barich: Just on a macro level, which sometime [indiscernible] support copper macro pricing that. What do you see, if anything, that Trump's critical minerals deal with Albanese, I know you're okay for funding and stuff. But just on a macro level, I mean, is that -- what do you think that deal -- do you think it will support copper pipelines, which have traditionally been -- we've seen a lack of discoveries and that kind of thing. But -- and I think there was some warning from Australian Minerals Council around the warning around the potential for increased costs, which probably wouldn't be just for Australia. I mean, are you seeing any potential benefits or impacts on a macro level or cost level or impact otherwise from that kind of deal being done just in the copper space broadly?
Brendan Harris: Yes. Look, thank you. There's a lot in that. We probably need 2 or 3 calls to cover it. But look, what I would say was at LME Week with a number of people on this call, no doubt, just 2 weeks ago, the move there was probably as buoyant as I've seen it in a number of years, particularly for copper and obviously, some other commodities, precious metals and some of the other critical minerals. I think one of the benefits for copper is it's a very large market. I think in these smaller markets when governments are supporting projects, one's got to really focus and understand what that means for the supply-demand balance over not just the next year, but the next 5, 10, 15 years. The good thing about the copper market is that, as you've mentioned, there's been arguably a lack of exploration and/or exploration success over recent years. We're starting to see some of that come through now, but really a lack of activity and success. The major fleet and when I say the major fleet, I'm talking the larger mines in our industry. You've all heard this before. They're all over 20 years old. And I think personally that the market still overestimates the likelihood that they'll supply to plan. I think what we're seeing now is a function of age and the complexity that comes with age in mining and the likelihood, therefore, that supply will continue to fail to meet expectations and therefore, markets will be tighter and the prices will need to be on average firmer to support investment into the industry. And look, it has been pleasing that copper is now starting to, if you like, capture some of the headlines. I felt that sometimes we've been focusing on the tail of the tail of the dog. The reality is that copper is the commodity that is required for the world to electrify and decarbonize and much more needs to be done over time to ensure that we have adequate, obviously, mining capacity, but also processing capacity around the world. So it is pleasing from our perspective that I think other than the people on this call and probably keen industry observers, I think more of, if you like, the average person is starting to understand the role that copper is going to play and the importance of copper to our future.
Operator: There are no further questions at this time. I'll now hand back to Mr. Harris for closing remarks.
Brendan Harris: Thanks again. Look, it's good to catch up with everyone. We obviously only spoke reasonably recently on the back of our full year results. Our AGM is on Friday. I'd just remind people, 3 months certainly doesn't make a year, but we're very pleased to have started fairly much as we would have hoped and expected. We're slightly ahead, a lot of hard work to go. And you can be sure that as a team, we're continuing to very much focus on the basics. Safe, consistent and predictable production is our motto, and we're working very hard to make sure we continue to build that reputation. So thank you for your time today. Hopefully, a day where you've had a few less companies report. And I know Dave Wilson and Tom are very eager to, on a day when hopefully, you've got a bit more time, give you as much time as you need to work through the numbers. So thank you again, and we look forward to seeing you all again soon. Have a good day.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.